Arturo Langa: Good day, and welcome to Globant's Third Quarter 2022 Earnings Conference Call. I'm Arturo Langa, Investor Relations Officer at Globant. [Operator Instructions] Please note, this event is being recorded and streamed live on YouTube. By now, you have received a copy of the earnings release. If you have not, a copy is available on our website, investors.globant.com. Our speakers today are Martin Migoya, Co-Founder and Chief Executive Officer; Juan Urthiague, Chief Financial Officer; Patricia Pomies, Chief Operating Officer; and Diego Tartara Global Chief Technology Officer. Before we begin, I would like to remind you that some of the comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook and the answer to some of your questions. Such statements are subject to risks and uncertainties as described in the company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today, we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published on our Investor Relations website announcing this quarter results. I'd now like to turn the call over to Martin Migoya, our CEO.
Martín Migoya: Thank you, Arturo, and hello, everyone. It's great to be here to share our Q3 results. Globant continues to deliver on our commitment to grow and to be the best transformation partner for our clients. My team and I are identifying the strongest growth opportunities ahead and going for them. I'm looking forward to discussing our outlook with you. But first, let's begin with the financial results. In Q3, Globant brought in $458.9 million in revenue. This represents 34.2% year-over-year growth and 6.9% on quarter-over-quarter growth. We continue to lead above the broader market. We are delivering strong revenue growth, robust profitability and generating healthy free cash flow. Globant is fully committed to delivering 360 transformations with consumer-centric solutions. We execute this through smart process optimization that helps streamline operations and achieve maximum efficiency. Our service offering helps our clients improve their cost structures. Our end-to-end capabilities help them deliver innovative experiences for their customers, leading to better top line performance and stronger returns. As we look forward, we do anticipate some challenges caused by macroeconomic and geopolitical uncertainty affecting the global economy. However, we are ready to run these challenges into strategic opportunities. In today's complex operating environment, we see a greater emphasis on high return on investment spending. We have the expertise and unique offering ready to meet this need. End-to-end digital transformation projects continue to deliver some of the highest returns for our customers. They streamline operations, while improving top line KPIs. According to Garner, 69% of CFOs aimed to increase their digital technology spending to be more efficient and resilient. We're confident that Globant is well positioned to face this market opportunity. We look forward to helping our clients reinventing themselves and navigate these times. Moving forward, we will be investing in our people, new markets, our brand and growth areas. We will keep growing, and our fundamentals remain strong. We also have a solid pipeline of projects in the near future, and we have become leaders in growth markets such as media, entertainment, health care and life sciences. Gartner market share recently named Globant as the fastest-growing IT services company worldwide when looking at the full year performance for 2021. Also, Frost & Sullivan recognized Globant as the Company of the Year for 2022 in the global digital transformation services industry. They credited this recognition to our unique studio model, the innovation hub of Globant X and our autonomous culture. Globant now has over 26,000 employees present in more than 20 countries. As we continue to execute on our main growth pillars, we deliver a deeper and broader array of services and products. I'll begin with the growth pillar of our geographic expansion. We will have a more targeted and aggressive focus on expanding in Asia Pacific and Middle East. We have created a new regional leadership specifically focused on this market who has already been serving our customers there. As a new step in this endeavor, today, we have announced the acquisition of eWave iWeb. Born in Australia, eWave, is a digital commerce experience consultancy. They are an award-winning Adobe Platinum Partner and a Salesforce gold partner. eWave will reinforce Globant's digital commerce capabilities and support the company's expansion in Asia Pacific. They have offices in Australia, Hong Kong and Singapore, and they have delivery presence in 7 countries in the region. eWave has an expansive portfolio of B2B and B2C clients. They implement end-to-end digital commerce transformations in many industries and service areas, including CX design, platform engineering, optimization and growth. Finally, we see eWave's passion for digital transformation and its culture with a global mindset as a great fit for our team. They will be valuable partners in the next stage for Globant. We're also expanding our network of clients and talent in the regions where we already work. This quarter, we expanded our presence in Italy through our acquisition of Sysdata. We're now present in all of Western Europe's five largest economies. Sysdata provides advisory capabilities and services to blue-chip companies in data analytics, business intelligence, mobile apps and other fields. Having a bigger local team in Italy is a great step for Globant because it brings new clients such as Maserati. It will add to our relationship with our current clients there that include UniCredit and Alliance. Now to our family of studios. They continue growing, evolving and adapting to the latest technology trends and market needs. In today's environment, companies need to accelerate their digitalization especially in the areas of cost optimization and process efficiency. We have created a new cluster of studios for enterprise platforms to take advantage of this opportunity. This cluster we consolidate our alliance and efforts with Salesforce, SAP and Oracle. All of our finance platform specialists will be working closer together in order to support clients' reinvention from their own core. This involves improving process optimization as a backbone of the organization while taking into account the ever-changing context for every industry. As you may remember, last August, we launched the Fast Code studio upon the incorporation of GeneXus. Our aim is to boost new ways of creating low- and no-code software. This is also an applicable tool for clients that need to reduce time and cost when developing and deploying products. There is a particular market opportunity that we see right now due to the demand for efficient time to market and the growth sector of super apps. With the recent release of GeneXus 18, we now have the first enterprise-grade platform for low code development of native super and mini apps. We have trained over 5,000 Globers in relevant specialties of the space, including UX and business analysis. As we grow our products and platforms continue to consolidate their own identity and recognition with our client community. Let me share some quick updates on some of this. We are seeing growth in our visual testing platform, magnify. Many of our clients are renewing and increasing their usage of the tool to improve testing quality so that they develop better products faster. Manual testing processes are being reduced significantly. The Software-as-a-Service version of the product was launched in October, and we will expand the features in the months to come. Our platform, Augoor, which accelerates the way to create code also continues to grow. After a year of implementing this tool at Globant, software development has become faster and more efficient. We look forward to seeing this efficiency multiplied through the services we offer our clients positively impacting their development costs. Now some thoughts on growth areas that we are very proud of. As you may remember, in 2020, we launched our Smart Bene concept. This vision is to reinvent the user experience in live sports and entertainment through technology. After the exceptional digital adoption after the 2020 pandemic, we have seen the growing need for this transformation. Funds now demand more, and they should. In Q3, we scored major goals in turning this vision to life, landing some exciting new projects. In late September, my team and I went to Spain to publicly announce our joint venture with La Liga, Spain's top Soccer League and one of the largest in the world. Together, we will leverage Globant's experience in delivering industry transformation with La Liga's expertise in global sporting events. We're creating a new global technology company that will deliver digital reinventions to sport organizations by leveraging Web 3.0 technologies meters and gaming capabilities, among other fields. three weeks later, we announced a multiyear partnership with FIFA to become the global platform supporter of FIFA Plus, their signature content up. This agreement gives us global exposure for our brands. Globant will be seen on the screen during every World Cup match. This is a huge step for us. We strongly believe in the power of sports in bringing people together and the key role that technology plays to do it. Finally, I admit that I am a soccer fan. But I'm excited that Globant will be working on other sports as well. We have signed a multiyear partnership with Los Angeles Clippers to provide the game-changing digital platform for their new Intuit dome opening in 2024. Globant will term Steve Balmer's vision of a digital fund centric experience into reality. It is an honor to be working on this transformation to create such a meaningful and seamless user experience. Our goal is to achieve a maximum benefit for staff, players and funds. In addition to these exciting new projects, I'm happy to see Globant's vision of tech trends and our society share with our audiences. On November 2, we hosted our eighth annual converge event. It is an opportunity for Globant to bring together some of the world's creative and leading voices. This year, we focus on the issue of reinventing connections to go over how technology is changing the way our society interacts. I, myself, had the pleasure of sitting down with Bob Iger, former Disney Chairman and CEO. We had a great conversation about the future of technology, the constant pursuit of perfection and Disney's reinvention. Some of my colleagues had similar talks with thought leaders, including Ariana Huffington, Carli Claus and Refik Anadol. The recording is available at converge.globant.com. Closing out, I continue to believe that we are among the most dynamic innovative, talented and diverse organizations in the world. We're constantly reinventing the way we offer our services and products, also how we structure our teams to take advantage of every opportunity. I am confident in the future and keep expanding our presence and growth. It is a pleasure to work with our lovers, who broaden the horizon of digital transformation every day. With that, I'll turn it over to Diego Tartara, our Global CTO. Thank you very much.
Diego Tartara: Thank you, Martin, and hello, everyone. It's great to be back with you to discuss the evolution of Globant's technology offering. We're making exciting advances into new technologies and platforms for our clients. We're also providing them with the solutions to improve their systems and platforms to optimal efficiency. I'd like to begin with a closer look at what Martin mentioned about our studios. We launched two new enterprise studios for SAP and Oracle. As Martin mentioned, they will become part of the enterprise platform studio cluster together with sales force and process optimization studios. This cluster will help current and prospective clients increase productivity, reduce costs and maximize their business results. Now some new development regarding our current studios that are reinventing the game for our clients. Our Healthcare and Life Sciences rementioned Studio is capitalizing on opportunities of each sector, now that technology and life sciences are completely intertwined. This studio is working with the British multinational pharmaceutical and biotech company. We're helping them to develop a virtual contact platform that expand the reach of doctors who today are not accessible due to geography, relocation of resources, among other reasons. This industry reinvention studio has earned recognition for its work. In September, Quadrant Knowledge Solutions named Globant an industry leader in 2022 Park matrix for health care IT services. They highlighted low and end-to-end consulting capabilities to enhance customer impact and service excellence for clients as the reasons behind their recognition. In Financial Services, business ecosystems are notoriously complex and undergoing a transformation through technology. We have been expanding and leveraging our expertise in the global clients through our finance studio. This team is leading business transformation and advanced analytics with proprietary models, helping clients to optimize the use of their data and adapting their management models quickly. This studio is currently working with a top 10 European bank that offers a full range of financial services for 15 million individual customers, and for about 500,000 companies in several European countries. Globant is carrying out a transformation in digital lending for their SME segment. We're helping transform the full end-to-end experience and the go-to-market value proposition for SMEs. The customer experience is now facial and improved for optimum customer satisfaction. Through AI technology and advanced analytics, we are assisting reinventing these clients' credit and lending decisions, an issue of additional importance during times of higher interest rates and market volatility. Now some news regarding our sustainable business studio. Global launched the studio in 2020 because we understand the role that disruptive technologies can play in closely sustainability gaps. The studio has been providing solutions that achieve both a stronger strategic focus as well as an incorporation of sustainable processes. This quarter, the studio performed a research initiative for Inmarsat, the world leader in satellite communications to explore the positive impact of the space technology towards the net 0 emissions goal. The findings revealed that existing satellite technologies could save up to 5.5 billion tonnes of CO2 per year. This is particularly encouraging because it's one step closer in creating a pathway to reach net 0 emissions by 2050. I a goal that is looking more possible through consistent global education and implementation from both the public and private sectors. As leaders in technology, we recognize our own company can have multiplayer effect in the global effort to help the planet. This is made possible through education and training. We're now providing a company-wide green IT training to both inform and inspire our global team. Just as we had our entire company training both AI and blockchain in recent years, regardless of their focus area, they now will be encouraged to design and develop digital solutions according to low-carbon tools, processes and best practices. The training offers education fundamentals green software and digital sobriety. Sustainable coding practices for WebUX, mobile and back-end specialists and best practices to efficiently create a managed data and optimize cloud infrastructure in terms both of cost and energy consumption. Now some additional context on exciting projects for some new clients. our work with FIFA is aimed to supercharge the growth of the FIFA+ streaming platform. Globant will create new features and connected experiences for FIFA users while supporting the platform's distribution. By doing this, FIFA will be able to exponentially increase the viewership of its official content while allowing fans to share their preferred content with friends and family on bigger screens. As you heard earlier, we were selected as the official digital transformation partner of the Intuit Dome, the new home of the LA Clippers. When completed in 2024, it is expected to be one of the most technologically advanced smart venues in the world. Globant has begun to co-develop the digital road map for the brand-new arena. We will apply our most disruptive technologies to bring to life a new user experience that includes seamless ticketing, personalized loyalty programs, touch and go payments point of sales among other features. Globant's deferential is that we are offering all of these different services in a cohesive 360 implementation package in an extensive and close partnership with the L.A. Clippers. Also in North America, known as partnering with Amazon Web Services to enable a large-scale cloud transformation for Stryker, one of the world's leading medical technology company. We are working on voice communication services for their nearly 2,000 institutions, which include hospitals and health care facilities throughout the world. We're planning to offer these services through a highly scalable multi-tenant solution via the AWS Cloud. Globant is playing a key role in transforming the existing monolithic IP service into a micro services architecture enabling Stryker to add new customers at twice speed and saving them millions of dollars over the next three to five years. In Latin America, we're working with Grupo Riquelme, a multinational retailer with operations in that region to carry out a major expansion plan. Their ambition for both organic and inorganic growth present the need and opportunity to redefine the operating model and technology strategy to accelerate the fulfillment of the group's business objectives. Our joint work includes a brand-new IT strategy, an organizational group led several quick win business cases and a road map that will help Grupo Riquelme transform their IT to support their business ambition. In Mexico, we're working with a leading retailer. They approach Globant because they wanted to enter the fintech space. We develop a virtual wallet and enable the company to issue its own debit card for global purchases and ATM withdrawals. This has enormous multiplayer potential in Mexico, where 60% of the population remains unmanned. Globant carefully designed workflows to meet the goal of creating a banking interface that offers the best user experience, understanding that many of the users will be using such technology for the first time. Within the first month, more than 5,000 digital accounts were opened and the growth has been exponential. By the end of the fourth month, 180,000 monetary transactions were carried out. Today, the one that is used by almost four million people. It is a true honor for Globant to be working on this business because of the financial inclusion that is providing to the society. Now some news on our exciting work for Nissan. In 2019, Nissan chose Globant as partner to support its global customer experience vision based in London. Today, our teams work together in Europe and the Americas in support of the Nissan Ambition 2030 aimed to empower mobility and beyond for a cleaner, safer and more inclusive world. We're also working with them to reinvent the customer experience of buying a new car, enable them with technology to improve and add new touch points. In October, we hosted the global Nissan Customer Experience Summit, are our new flagship office in London. Over 70 Nissan executives were in attendance from all over the world. With that, I'll hand it over to Pat Pomies.
Patricia Pomies: Thanks, Diego. Hi, everyone. I'm happy to be with you all again. Let's begin with the breakdown on revenue. The LTC company continues to be our largest client, growing by 25% year-over-year and 8.6% quarter-over-quarter. The rest of our accounts collectively grew by 35.4% year-over-year and 6.7% quarter-over-quarter. Our 100 square strategy continues to show results. Over the last 12 months, we have 13 accounts that brought in more than $20 million of revenue compared to $11 million from the same period the year before. We also have 255 clients with more than $1 million of annual revenue compared to $162 million one year ago. Regarding our geographical distribution of our revenues, in Q3, 64.9% of revenue came from North America, 21.9% from Latin America, 10% from EMEA and 3.2% from Asia and Oceania. While fully committed to building relationships with new clients, we also see a strategic value in accessing the networks of our current clients as an effective way to grow. That's why we continue to focus on the Net Promoter Score. We use this to measure how our clients refer us within their communities. Over the last 12 months ending in Q3, Globant show a Net Promoter Score of 74. This is four points above this score announced in Q2 comparing the previous 12 months. On a general basis, the Net Promoter Score is consistently above 75 and well above the industry benchmark of 41. We remain committed to delivering our projects with operational excellence and high quality. Now to headcount. Our global team continues to expand. In Q3, our total headcount reached 26,541 Globers, 24,922 of are IT professionals. This marked as 21.5% year-over-year growth. Globant's annual attrition rate is currently at 18.5%. It's the lowest in two years and 140 basis points below Q2's annual figure. Talent continues to choose Globant. We offer some of the most engaging projects anywhere in the world and the chance to work on the latest transformation enable long-term career opportunities. Moving forward, we will continue to strengthen and foster our corporate culture of putting people first with an emphasis on kindness. We want to ensure the well-being of our Globers so that they achieve the best version of themselves. That's why we regularly listen to our teams to customize our value proposition and redefine the workplace experience compensation and benefits accordingly. In July, we surveyed our Globers in a periodic engagement pulse, over 80% responded that they were feeling really well physically mentally and emotionally. This is great news for our efforts to make this company a great place to work. However, it also speak to the importance of talent as a strategic asset for Globant. I'm pleased to see that Globant's talent center strategy is being recognized in the markets where we work. In Latin America, home to 74.6% of our Globers, we recently received several recognitions. In Mexico, force rank us among the top 10 best employers in the country. Employers for youth recognized Globant among the best employers in Costa Rica, Peru, Brazil and Chile and number one in Ecuador. Our Globers continue to find new opportunities within the company. Our open career platform launched in March has been an effective tool in diversifying the talent opportunities right here at this company. It offers Globers an agile and intuitive way to apply to new positions geographical areas and career challenges. Over 6,000 Globers have applied to find new opportunities within the company. Additionally, Globant University is constantly growing to provide upskilling and career-long learning. During Q3, we launched an AI engine on our digital campus to intuitively suggest new content every day to our Globers and the social learning forum to boost educational exchange. Roughly 22,000 gloves used this day. And now to the pillars of our Big kind initiative, which continues to drive Globant's relationship with all of its communities. As I mentioned during the last earnings call, we mean that Bill awards Globant's recognition to support and promote the development of talented women leaders in technology is back for a third edition. More than 1,200 women from 50 countries were nominated in our five categories, Board Executive, Digital Leader, Tech Entrepreneur, Rising Star and Techfluenzer. They received more than 110,000 votes from all over the globe. I look forward to sharing with you some of the amazing women leaders that will be recognized in the coming months. Now some exciting updates of our big kind tech fund. You may remember that we launched this last year. This fund is unique in the world. It is especially focused on supporting start-ups whose business is to provide solution to some of the negative effects of technology. Today, we are proud to announce that the fund is investing in Polemic. This is the first platform to introduce Web 3 technology to the world of ideas and opinions. The start-ups mission is to upgrade how people support and oppose opinion leaders, disrupting the echo chambers cultivated by traditional social media platforms by automatically showing as different viewpoints of their leaders opinion and financially rewarding the tractors who engage in a smart and civilize debate. As the funds mission continues and its network grows, we are happy to have more institutions joining forces with us. The MIT Sandbox Innovation Fund is partnering with our big Kintec fund to raise awareness among students about negative effects of technology. Their aim is to encourage them to develop ventures that tackle issues such as AI buyers, online harassment and abuse and polarization. Our signature scholarship program of color future continues to expand. This scholarship includes access to talks, booth cans and global courses to boost employability. In Colombia, currently Globant's largest talent market with nearly 5,700 Globers, we launched a special edition of this program called [indiscernible] in collaboration with the Bogota City government. The aim is to give opportunities for education and employability to the population affected by the internal ARM conflict. We will be giving scholarships to 500 people to give them a pathway to work in the sector. Before the end of the year, aligned with our public commitment of granting 15,000 coding future scholarship by 2025, we will be offering at least grants for an 8-month training process to people from Latin America, 50% will be offered to women. I'm proud to see that these educational efforts are being globally recognized. In October, Fortune magazine included Globant for the first time among the top 50 companies with ideas that are changing the world due to the profound social impact of the Coding Future program. And with that, I'd like to hand it over to Juan Urthiague, our CFO.
Juan Urthiague: Thank you, and good afternoon, everyone. I hope you're all doing well. Let me first recap the solid results for the quarter. Then I will provide our guidance figures for the fourth quarter and the full year 2022. We are proud of the financial results delivered in the third quarter. We managed to post another quarter of strong growth, profitability and cash generation. Every Glober's effort across the organization is reflected in our results today. Also, we want to thank each and every one of our clients for the trust placed in Globant. Our revenues for Q3 were $458.9 million representing a 34.2% year-over-year growth. On a sequential basis, our revenues for the third quarter of this year increased 6.9% and Q3 revenue growth was 36.7% year-over-year in constant currency, 2.5 percentage points above our headline figure. Inorganic contribution to growth, stood at three percentage points in the quarter. Our business model continues to prove resilient in this macroeconomic environment. We continue to assess the increasingly complex economic outlook and observe that growth is moderating towards historic averages after an exceptional period of growth during the pandemic years. However, we continue to see our long-term growth drivers as unchanged, and we continue to believe that we are in the early stages of a multiyear secular growth trend. Under the current environment, we see a greater potential for our service offering because it is expensive and adaptable to client needs. Globant's value proposition continues to be unique in the industry. We continue to see technology as a solution for a wide array of challenges being faced across the business landscape. Our premier end-to-end capabilities continue to drive high ROIs for our clients while our port delivery model allows us to adapt quickly to market conditions. Also, our focus on robust delivery and client satisfaction coupled with a global and diversified delivery model are all factors while our clients continues to choose to work with us. We believe some of these factors are reflected in our growth rates which remain amongst the highest in the industry. We remain focused on our profitable growth formula. Our adjusted gross profit for the period increased to $179.6 million, representing a 39.1% adjusted gross margin unchanged quarter-over-quarter. As we manage both the demand and supply of the equation, FX hedges, wages and pricing, we target to deliver to our clients high value add and to our shareholders and stakeholders above industry average growth. Our gross margin levels continue to reflect the value that our clients see in our services relative to the rest of the industry. Adjusted operating income for the quarter amounted to $73.7 million or 16.1% of revenues, flat quarter-over-quarter. Adjusted operating margin for the first 9 months of 2022 stood at 16.3%, relatively unchanged on an annual basis. We are proud of these results. After nearly tripling the company's revenues since year-end 2019, we have also managed to preserve profitability levels. We are excited about what lies ahead. And we are convinced that growth opportunity is still immense. We will continue to invest to capture that growth. We are excited in terms of building a warm famous brand executing on our 100 square strategy, enhancing our global delivery and our studio model and reinventing the industry through Globant X. Regarding below-the-line items, our IFRS effective tax rate for the quarter was 21.9%, largely in line with our guidance. Adjusted net income for the third quarter of the year totaled $54.7 million, representing 11.9% adjusted net income margin. Adjusted diluted EPS for this quarter was $1.27 based on 42.9 million average diluted shares for the quarter, $0.03 above our quarterly guidance of $1.24 per share. Adjusted EPS for Q3 and implies a solid 29.6% year-over-year growth. We continue to execute on our balance sheet management and capital allocation priorities. We believe that our balance sheet is strategically suited to fund our growth ahead at a time in which the market is starting to offer attractive opportunities inorganically and organically. Our cash and cash equivalents and short-term investments as of September 30, 2022, amounted to $369.2 million. Currently, our credit facility of $350 million is fully undrawn. We continue to carry a net cash position in our balance sheet, which, coupled with our organic operating cash flow generation should provide ample and attractive funding to support our organic and inorganic growth strategies in the short term. We posted a strong quarter in terms of cash generation. Cash flow from operations for the Q3 2022 was $76 million, while capital expenditures in the quarter amounted to $30.1 million. From a free cash flow perspective, we generated $45.9 million, representing 84.1% of our adjusted net income for the quarter. At the end of Q3, DSO was 76 days, in line with the same quarter one year ago. All in, third quarter 2022 reflects the outsized growth and above average profitability of our company, a solid free cash flow generation continuing our commitment to deliver value to all our shareholders and key stakeholders. We remain committed to our profitable growth formula. Now let's talk about our business going forward. I would like to share with you our updated outlook for the full year 2022. Despite the current macro uncertainties, we continue to be positive about the growth opportunity for Globant and our industry. Based on current visibility, we are increasing our full year guidance to $1.778 million or 37.1% year-over-year growth. This guidance figure considers approximately two percentage points of FX headwind. This full year guidance implies Q4 2022 revenues of at least $488.5 million or 28.6% year-over-year growth. Full year and Q4 adjusted operating margins are expected to be in the 16% to 17% range. IFRS effective income tax rate is expected to be in the 22% to 24% range for both Q4 2022 and the full year 2022. Adjusted diluted EPS for the year is also increased, and it is now expected to be $5.06, assuming 42.8 million average diluted shares for the year and implying an adjusted EPS for Q4 of $1.38, assuming 43 million average diluted shares outstanding for the quarter. Thanks, everyone, for participating in the call, for your coverage and support.
A - Arturo Langa: Thank you, Juan, and hi, everyone. [Operator Instructions] So with that in mind, I'd like to take the first question from our audience from Tien-Tsin Huang from JPMorgan. Please go ahead.
Tien-Tsin Huang: Yes. So the fourth quarter outlook was encouraging, nice sequential growth. Is there a way to maybe help us understand what's changed in the last 90 days with respect to what you had for the fourth quarter. I know the FX has moved. You have the acquisition of eWave? I just want to make sure we understand what's changed.
Juan Urthiague: Sure. So thank you, Tien-Tsin, for the question. Over the last couple of months, as you know, we have closed the acquisition of [indiscernible] and the acquisition of eWave. At the same time, we continue to expand organically our business around the world. We continue to see strong growth ahead of us. And as you know, we updated our guidance both for the full year and for the fourth quarter. raising it now to 37.1% year-over-year basis and 28.6% for the Q4. The macro environment has changed a little bit. We continue to see some companies working on the budget for 2023 and maybe taking a little longer to close that budget. But overall, we continue to see growth ahead of us, and the Q4 guidance, I think, is pretty much it's a very solid number. It's pretty much unchanged to what we guided in the previous quarter.
Tien-Tsin Huang: Okay. Great. Glad to hear. And then I know you mentioned Disney clearly grew very quickly. But looking at clients two through five or two through 10 in general, any surprises there. It looks like it was down a little bit sequentially. Curious how broad-based that is? Any interesting call-outs or considerations [indiscernible]
Juan Urthiague: This may had an amazing quarter with us. We grew 8.8% sequentially. But as you said, in the other two brackets, two to five and six to 10. You see actually two particular customers that, in one case, it's in the travel sector and the other one is in the financial sector, both of them in Latin America. In the case of the travel company, it's a very big project that we have been working for the last three, four years and expanding that relationship significantly. That project is now moving into an ongoing evolution phase. And while we continue to work with them on finding new investment ideas and new opportunities, the level of growth in that account came down a little bit. And the other one is, again, a financial institution in Latin America. So it's very specific to those two customers. All the rest of the customers in the top 10 have grown in line with the company and Disney, as you said. And as you can see in the numbers, had a very good quarter, something that we also, by the way, anticipated back in August when we had our previous quarter.
Tien-Tsin Huang: Yes, you did. No, it's all encouraging for that on that side. Thanks for the detail.
Arturo Langa: So our next question comes from Ashwin Shirvaikar from Citi.
Ashwin Shirvaikar: Thank you and good quarter. I think my first question is on headcount. The growth seem to slow a bit. Is this -- are you sort of looking at the demand environment and reacting or becoming more careful if you can kind of comment on how you're thinking of headcount growth going forward? I mean obviously, the other factors that come in play with headcount include attrition and utilization. So -- how do you expect that to trend?
Juan Urthiague: Sure. Thank you, Ashwin, for the question. The level of hirings and the level of net additions is always a combination between higher attrition, utilization levels. And in the current environment and while we continue to observe how budgets are going to be approved for next year. What's the macro going to be like over the rest of the year. What we have been doing, as we also anticipated in the last quarter was working on the utilization number, which went up more than two percentage points during this quarter, working also on the attrition level that came down from 19.9% to 18.5%. And we are -- we will continue to monitor all the macro variables combined with how the industry evolves and put that into consideration to be flexible in the number of people that we attract or we hire in a particular quarter. We still have room to grow on the utilization level. We still believe that attrition numbers can come down, and we will continue to monitor all the macroeconomic variables and how our customers continue to perform and be flexible and ready to accelerate hiring as soon as we have more clarity into the future.
Tien-Tsin Huang: Understood. And then the other question was with regards to the new studio announcement, the Oracle SAP. Does that -- it seems very promising. The question I have is, are you getting into more sort of regular system integration type work with where a lot of the other traditional SIs play? Or are you -- how are you going to differentiate the type of work here?
Martín Migoya: Thank you, Ashwin. I may take the first portion and then I will let Diego to take the other. Look, this is something that our customers are requesting to us. They love the way we work, when they love the way we do things, the way we in some way, we integrate our teams and how it's our culture. And we have seen like a pretty steep growth during the past years in this specific segment. And we decided to back all that into a new set of studios. And I think it's a natural evolution. When you start working on the front end, then you need to work on the back end to be able to connect that from them with that back end. But then suddenly, the guys doing the back and say, "Oh, wow, we are seeing like a new way of doing things, and we want more of this." And I think this is what is happening on client after another, and that is yielding to a new way of doing things that normally were doing -- were done in a different way. So that's the dynamic that is happening. I think clients are pushing us more than us pursuing that in a in a proactive way, but we are very happy with what's going on. And I think we will be investing more in that specific space because there's a lot to change. There's a lot to reinvent -- and the Globant signature is extremely important in that space where status school is the key of the sector. So I don't know.
Diego Tartara: I think you pretty much covered it. I just want to add that I think there is currently sort of a mixed conception with regards to platforms being a cookie cutter or how you implement software. Platforms have become very robust, but also they allow you to go beyond what they used to. So nowadays, you have platform accelerators are great in terms of achieving great time to value, but also allowing companies such as loan, which specializes on implementations to create amazing experiences, and that's how we're aligning and partnering with these platforms on every specific sector. Just as an example of that, eWave got us a great amount of expertise within the Salesforce cloud commerce sector, as an example, reinforcing our expertise and knowledge. So this is -- again, I think what brings to loan here is more end-to-end capabilities, but always conserving the DNA of loan, which is reinventing industries, creating the best experiences connecting with clients.
Arturo Langa: So our next question comes from Moshe Katri from Wedbush. Moshe, please go ahead.
Moshe Katri: Very strong results. Congrats .Two questions. The first one on Disney. So Disney had very strong results for the quarter. Do you have any preliminary kind of comments on how -- what should we expect from Disney in calendar I'm assuming you're having some discussions with the various units that you're dealing with, but any color here could be helpful.
Martín Migoya: Yes. We believe and we are positive about the long-term relationship we have with them, and we see the relationship growing and we are ranked on the top of the partners that they have. We work very hard for that to happen. So we feel that the relationship will keep on expanding in different areas, in different places. And what we see is parks being very robust in terms of activity. On the other side, on the direct-to-consumer the things are also very healthy in terms of amount of new things that are happening there. So overall, I believe that next year will be a positive year for Disney, too, and next quarter, of course. So this is what I'm seeing right now. I don't know what's going to happen in the future with macroeconomic situation. But I believe Disney and our relationship with them is great and the company overall is in very good shape.
Juan Urthiague: If I can add something there, Moshe. If you look at our growth with this in this quarter was very solid, 25% year-over-year. But also if you look at the growth to the end. So all the rest of our customers, the level of growth was also very solid. So we go to top 10 accounts or just account for 34% of our revenues right now, coming down from almost 40% a year ago. So the point I'm trying to make here is that sometimes growth may be driven by some of the top accounts, including Disney. Other times, we have a great portfolio of customers that are maybe in the 11 to 40, 11 to 50, that also can contribute to that growth. The fact that now top 10 is a smaller number, also gives us the flexibility to grow in multiple parts of the organization. And I think that the fact that, for example, of our revenues is coming from public companies is also something that, in a way, it creates a great opportunity for us to keep expanding and growing our business. It doesn't -- my point will just not depend on one customer. Moshe Katri from Wedbush Yes. I appreciate that. Just as a follow-up, Martin, at the beginning of your introduction, you spoke about some companies starting to focus more on return on investment or ROI. And is that -- and some of your peers are also talking about the fact that some of their clients kind of moving are moving away maybe from a growth mode, more focus on costs and ROI. Is that something that you're actually seeing? And is that changing the nature of the work that you're kind of providing to your enterprise clients?
Moshe Katri: No. No, Katri. It's not changing. I believe -- that focus is because we can provide at the same time, like an increase on the revenue and a lot of efficiencies when you talk about costs. And we're that kind of company that we have been working historically on how to increase revenue. And now we have a very efficient model of delivering technology from many different places in the world, but not just that, but also we have tools like Magnify or Augoor or all the -- or GeneXus to accelerate and put like very good multipliers in terms of efficiency to the same teams producing what we develop. So I think that -- those two factors combined at the same time is what I refer to customers focusing more on return investments. It's not just about creating more revenue, now it's about being more efficient, too.
Arturo Langa: So our next question comes from Ernesto Gonzalez from Morgan Stanley. Ernesto, please go ahead.
Ernesto Gonzalez: Hi. Thank you for taking our question. We would like to get your thoughts and expectations on human talent management layers in the global tech industry have accelerated. And we would like to know how and what time frame you believe this could impact your ability to staff people your personal attrition costs? And also if there are any differences between labor markets or regions in general.
Martín Migoya: So the first part of the question, I didn't get it. I don't know if you...
Juan Urthiague: Yes. What is the impact of delay of the tech sector on our business? I think Pat is going to take.
Patricia Pomies: Okay. So thank you for the question. I mean the market is still strong. The technology is still on the high end demand. So I think that in terms of how it's impacting our human talent in the way we are approaching, I mean, it's not direct these days. We have invested in how we handle our talent in Global for the last couple of years in terms of putting the people in the center of the organization, and that is giving us a result in terms of the attrition. As you can see, we expect the attrition at the same levels for the next quarter to continue to be lower. So I think that in the macroeconomics are things that are happening. Some companies in the tech industry are doing some layoffs, of course, I mean, Globant has been in a very a very good way in terms of keeping the talent as we have been doing all of these years in the middle of the pandemia. We also keep that in mind. So that is our focus on these days. In terms of the -- how is this impacting in terms of the region, Latin America is still a very strong demand in tech profiles, and we have been able to be the best place to work in many countries this last couple of months. So I think that the kind of relationship that we have with our employees has been amazing. Our Pulse engagement interviews with them has been very good results. So I think that the kind of relationship and the possibilities we are giving to our employees is really good. So I think that, that is a mix of things. We are keeping, of course, a very short -- our KPIs in terms of the utilization, in terms of the attrition in order to be seeing what is happening on everyday basis. Of course, we are relating on that. But I think that at this point, this is not changing the way we are handling our talent these days. I mean this is -- at this stage, we keep on sending by our Globers and of course, engaging with them and trying to be closer now than ever.
Arturo Langa: So our next question comes from Kate Carsten [ph] from William Blair.
Unidentified Analyst: Congrats on the quarter. Diving into the talent area a little bit more. So I know that hiring has slowed, but I'd like to know when you do hire now, are there certain skill sets that you're prioritizing when you do hire?
Patricia Pomies: Well, of course, I mean, these days, I mean, the idea has been -- it's not that we are prioritizing now when skills are different from a month before. The demand is strong for us, and there is some kind of profile that we have been looking in the last couple of years that has to do with the correct talent for Globant. Platform where we are offering the people not only to stay in one project forever in one career forever. They have been the chance to go to many clients the accessibility to go to anywhere they want. So that is the kind of skill set that we are looking at these days. That has to do more with the kind of talent that is appreciating the way to growth. I mean this is related with a company that wants their employees to keep growing faster than ever and be the best version of themselves. That is the kind of talent that we are still looking. The last couple of months, we have been working very close with some of the specific countries that have been in crisis. And that has to do also with the kind of people that we want in our company to keep growing and to be handling. We have been reorganizing some of the structure the last couple of months in terms of the way we approach our clients, and that has to do with the kind of management that we are putting leading in front of the clients being closer to them. The 100 square program is an example of that. It's putting our best talent next to our client in order to be partnered with them. So I think that is the kind of the skill set that we are looking people that are really curious that they want to learn, they were to keep growing in a company that is growing, as you can tell by the results this quarter, and we keep on this track. I mean that is the DNA of the Globant culture right?
Unidentified Analyst: Great. That is helpful. And then shifting gears a little bit. You guys mentioned on the call that you're putting a targeted focus on Asia Pacific and the Middle East. Can you talk to me a little bit more about the opportunities you see for Globant in those areas?
Martín Migoya: Yes, sure. I can take that one. I think that Asia Pacific for us has been an area which has been absolutely underdeveloped in the past. So some time ago, we decided that, that should change, and that should be one of the main areas of expansion. So we decided to start with some acquisitions like we did today and we announced the acquisition of eWave in Australia. And also, they have operations in Singapore, in Hong Kong and other places, which will help us. Also when we acquired GeneXus, they had an operation in Japan, and they will complement those operations that we are acquiring right now with eWave. And I believe there's a big opportunity there when you add up all the Asia Pacific plus the Middle East countries plus some other countries in which we operate, but sometimes the market was not a take like India or some other countries over there. So I believe that overall, when you take all those things it represents a gigantic market where needs are pretty similar to what we serve to our customers in the U.S., in Europe, in Latin America. So I think it's a very good vector of growth for us moving forward.
Arturo Langa: So our next question comes from Surinder Thind from Jefferies. So we'll jump back to Surinder. But our next question comes from Bryan Bergin from Cowen.
Bryan Bergin: So as you kind of look forward here and scenario plan for which just may come, can you just talk about current levels of visibility in the business. How do you think about impacts of potential recessionary pressure? And is there any simplistic way to segment the mix of work that you're doing that might be more exposed versus what's more durable or the amount of clients or mix of clients that are really extending their budgeting cycles? Just trying to think about how growth resiliency can fare here given the macro and the customer conversations that you're having?
Juan Urthiague: Sure. Thank you, Bryan, for the question. Yes, over the last probably two quarters, the global economy has been under a little bit of pressure with different things happening in different regions. Now we're getting close to year-end. And yes, definitely, we are seeing some customers delaying their budget processes and some projects sometimes ramping up a little bit lower because of budgets yet not been approved for next year. So that is reducing a little bit the visibility that we will typically have by this time of the year. At the same time, we continue to see good levels of growth, as you can see by our guidance for the rest of this year. We continue to see loan investing to be ready for when the macro comes back, as you can see by the investments we are doing, for example, on the marketing side with the World Cup, also in how we are getting ready on our teams in the different regions, how we are -- how we have been evolving our studio model. So we are a company that keeps on moving. We have just closed company an acquisition today. We continue to move. We don't stop because of the macro. We just need to keep evolving and getting ready for when it comes back. If by this time, visibility for next year in a normal scenario would be around 80%, probably we're a little bit down that number, maybe more like 70% or something around that number. So it's a little bit lower. And -- but we expect and we hopefully, when we have to guide for the full year, next February, the situation has stabilized a little bit. There are some good news coming from the macro inflation in the US stabilizing or coming slightly down. That was good news. So we'll see how it goes from now until the end of the year. So we are optimistic because Globant continues to evolve, continues to adapt, continues to invest continues to get ready, as always, as if this was a normal year. But of course, we are taking some precaution, especially on the hiring side until we have more clarity.
Bryan Bergin: Okay. That's helpful. And then just shifting over to margin. Can you just talk about some of the drivers there that are factored in that 4Q outlook? It looks like a pretty healthy ramp sequentially that's implied.
Juan Urthiague: Yes. Yes. On the margin side, like the same throughout this year. We continue to see operating margins in the 16% to 17% level. There, you have different things going on, some help on the maybe on the FX side in Latin America. At the same time, we continue to invest heavily to get ready for next year, investments in marketing, in sales and marketing teams in coverage in new studios, adding capabilities to our offering. So we continue to think that not just for this quarter but also for next year, that level of 16% to 17% operating income is a good target to have as a company.
Arturo Langa: Our next question comes from Walter Chiarvesio from Santander.
Walter Chiarvesio: Well, congrats for the results. I would like to dig deeper in the sports segment in which you have announced this partnership and initiatives with Aleafia people's we to keep from you, how do you see this into medium-term in terms of -- I mean, the market must be huge in terms of number of potential clients and big wallets there. And the visibility on this is anyway that we could quantify this and if that could imply like a notch up in growth rate compared to the historical rate of Nova, I mean, looking forward. This is a thing that we should see as encouraging really impacting the growth rate in the next couple of years? Or will we saw were just a couple of examples of clients [indiscernible]
Martín Migoya: That's a great question. Thank you so much. Look, I believe that what we are doing with all those sport initiatives and sports-related initiatives has to do a lot with to -- we have reached to a size come where we need to change dramatically the way we connect and the way we position our brand. And connected to that specific idea, this deal has like a like a dual objective. On the first hand, we are creating technology for all these institutions where we work with for FIFA, with FIFA+, with La Liga, with La Liga Tech, with LA Clippers we're creating the Intime technology for them. And on the other side, we are, in some way, positioning our brand as sponsors of those same brands. So I believe that this is a pretty large market. We are now entertaining conversations with many other leagues with many other teams that really want to create that seamless experience in the same way we create it for Disney. And that is one vector, but I think that the impact that we are not expecting for that change in numbers moving forward, so you cannot include it in the model, the impact moving forward will be the dramatic, just the World Cup and just the FIFA relationship is about the 2022 World Cup that will be watched by three billion people. And then when you go into the future, it's next year, women's World Cup in Australia and the sub-17 world championships and the esports championships from FIFA all those things, it will be sponsored or other things and at the same time, developing FIFA+. So our position is we love to be and to position our brand, but we want to position our brand in a way we connect and we explain to the world that we are changing the technology for sports and for the sports that you love. And that's the whole idea. Now this is like a massive marketing effort connected to a massive technological effort going at the same time. I think it's a very innovative approach on how to position our brand -- and I believe we will have a lot of impact moving forward. Now are we in a position right now. It's the first time that we do this in our history. So are we in a position right now to measure that? I'm not in a situation to say yes. So we expect the same growth that we have had as a compound in the company from the past. But I hope that this will unlock many new opportunities that we didn't imagine today that we don't imagine today, sorry.
Arturo Langa: Our next question comes from John Nutt from Piper Sandler.
John Nutt: Good afternoon. And thanks for taking my questions. Expanding your footprint in the APAC region has clearly been a focus. Are there any other geographies or regions that are on the radar for a particular interest for possible future expansion? And then kind of along the same line, my follow-up is how do you see revenue mix by geography shaking out over the next few years? Are there any regions that you would like to make more or less exposure to? Thank you.
Martín Migoya: Mean we will need another planet, if you want us to keep on expanding. But I don't discard that. But in any case, just in the plan that we have, we are pretty much in every continent, except for Africa. And I think that there will be some movement there at some point in the future. But now the focus is being placed on Asia Pacific, on Europe, Latin America and North America. In particular, in Europe, we believe that expanding and having like much larger operations in countries like France or Germany, now we have a pretty decent operation in Italy after acquisition of at are extremely important things to make it happen. If you ask me, I think Europe should be larger in terms of revenue very soon and have like a larger share. Latin America is also poised to grow very fast. Our point there is that there are two markets which is Brazil and Mexico that for us has been growing very nicely. But now they will have the lion's share moving forward in terms of growth. And of course, in North America, now we open up Canada and we are expanding into Canada with many new things happening there. And again, Asia Pacific Asia Pacific, Australia and the Middle East countries, including Israel, in which we don't have operations yet. Those three things has like a pretty large market opportunity for us. So I would say that we would focus on those four things: Asia Pacific and Middle East, the -- Europe, North America and Latin America. Those are the four places where we'll be investing heavily to make it grow.
Arturo Langa: Our next question comes from Diego Aragão from Goldman Sachs.
Diego Aragão: Yes. Can you please just provide some color on how the Globant X business unit formed this quarter in terms of growth and how much it represented in terms of revenue as well as whether this is already contributing positively to your margins or still diluting the margins?
Juan Urthiague: So in terms of Globant X, we continue to invest in a number of platforms some of which are already generating revenues. Others are in kind of friends and family stage where we're testing with some customers that are good friends of ours. And finally, we have others that are just proof of concepts at this point. When we look at the level of -- when we look at the level of revenues that these platforms are generating, right now, we are -- it's around 2%, 2.5% of our revenues. They are growing at a nice pace. It's still a small number in the total revenues of Global, but it's growing at a nice pace. Now in terms of margins, by definition, all these platforms have to improve our overall margins, right, especially when you look at the gross margin level. Of course, as we are investing, they bring the depreciation and amortization. But at the gross margin level, they are -- they improve our margins overall.
Diego Aragão: Understood, Juan. And maybe if I would think about like the portfolio of products in there, is there anything in particular that is driving most of the growth or is coming pretty much from different solutions and applications?
Martín Migoya: Yes. Look, StartMeUp is doing great. I would say that Magnify is like in a pretty mature situation where our customers that are using it are consuming more every day, and that's great. I would say that all the things connected to La Liga and delegate has like the technology we got from that agreement -- it's a lot of -- there are a lot of platforms for streaming for prevent piracy to many platforms that are generating revenue in a pretty clear way, and it's an important addition to the platforms. And of course, Augoor, which is generating revenues more allowing us to differentiate the offer that we do for our customers. I think that those are the areas where we are seeing like more expansion and more growth.
Arturo Langa: So thank you, everybody. That will be the Q&A session for today. With that, I will now ask Martin to provide some closing comments. Martin, please go ahead.
Martín Migoya: Well, thank you very much, Arturo. We are very happy to be here today. Thank you very much for your continued support and understanding and looking forward to see you in the next quarter. Thank you.